Operator: Welcome to the VINCI Conference Call. I will now hand over to Mr. Christian Labeyrie, CFO of VINCI. Sir, please go ahead.
Christian Labeyrie: Yes. Good afternoon or good evening, and thank you for attending this conference call. As usual, I am today with Maria [indiscernible] our controller, and the Investment relations team, Gregoire Thibault and Alexandra Bournazel, and I will be brief as usual to have more time for the Q&A. So what are the key takeaways of the beginning of the year 2021 for VINCI? We can start maybe with a quick organizational reminder. As announced last February, VINCI Construction and Eurovia have been placed under the leadership of Pierre Anjolras, which used to be CEO of Eurovia, a member of the Executive Committee of the group. And therefore, VINCI Construction and Eurovia will – excuse me, VINCI will from now on report on this group of business under the name of VINCI Construction, which we include as a result earlier. Q1 revenue, as you saw it in the press release, came to €10.2 billion, up 5% year-on-year and also 5% versus Q1 2019. France, which accounts for 57% of the total, was up 11% year-on-year. Bear in mind that in Q1 2020, business levels at VINCI Energies, VINCI Construction and Concessions in France, have fallen sharply following the start of the first lockdown, which took place as of March 17. International, accounting for 43% of the total was down 2.3%, minus 1.5% like-on-like, taking – eliminating the currency variations. Unlike in France, business levels abroad generally held up well despite the pandemic last year at the same period, which explains why the variation between 2021 and 2020 is not as favorable as for France. Changes in scope were mainly related to the integration of VINCI Energy’s most recent acquisitions, which increased revenue by 1.3%, and exchange rate movements had a negative impact, as I mentioned it of 2.2% since most currencies, especially the dollar, U.S. fell against the euro. A very positive point is the order intake evolution. The order intake was dynamic, plus 8% on rolling 12-month basis, of which plus 16% abroad and minus 2% in France. And if we compare with the first quarter of 2020, the order intake was up in the first quarter of 2021, 19%. That growth reflects several large contracts wins for VINCI Construction, in particular, including a product for the Femern tunnel that will connect in the future, Germany and Denmark, which represent an amount of around €1 billion. So as a result of that, the order book hit a new all-time high of €45.8 billion, up 21% year-on-year, which represents almost 15 months of activity of VINCI Energies, VINCI Construction, the new VINCI Construction, which provides us with a good visibility and serenity for the future. International business accounts for 61% of the order book versus 57% at the end of March 2020. In terms of financial position, VINCI continues to maintain its liquidity at a very high level, more than €18 billion, €18.4 billion, exactly at the end of March 2021, which comprises managed net cash of €8.8 billion – €9.8 billion, excuse me, €600 million of commercial paper and also an unused confirmed syndicated bank facility of €8 billion, which is due to mature in November 2025 for almost all of this amount. So as a result, VINCI is well prepared to continue dealing with the unexpected and also continue its development. So let’s now have a look – a closer look at the main divisions, VINCI Construction. Q1 sale of €1.3 billion, down 22% versus Q1 2020 and down 20% versus Q1 2019. So VINCI Autoroutes first. VINCI Autoroutes, which is rather a good news, stability of the revenue at €1.1 billion despite travel restrictions in France and in the rest of Europe. Traffic on motorways saw only a limited decline of 2.8% compared to Q1 2020. Light vehicle traffic fell by 4.5%, while heavy vehicle traffic rose 4.8%, thanks to a firm economic activity and growth in the e-commerce. Compared to Q1 2019, traffic levels were still down 11%, heavy vehicle traffic, up 1.7% was robust. Unlike light vehicle traffic, down 13.8% versus Q1 2019. Now VINCI Airports. VINCI Airports, a revenue of only €150 million, down 70%. Like the world’s air transport sector as a whole, revenue of VINCI Airports continued to suffer badly from the COVID-19 pandemic and the resulting travel restrictions continuing the trend seen in late 2020. You have already seen the traffic figures published last week. Overall, passenger numbers in Q1 2021 were down 78% versus Q1 2020 and down 82% versus Q1 2019. Let’s talk now about the Energies business. VINCI Energies with sales of €3.5 billion started 2021 year, well with revenue rising 7%, with Q1 2020, 6% like-for-like and 13% compared to Q1 2019. That upturn was driven by France, where revenue was up 14% in Q1 2021 versus Q1 2020, which had been hit by the start of the first lockdown last year. Outside France, where business levels remained firm last year despite the pandemic, revenue was up only 2% on an actual basis and stable like-for-like year-on-year. This performance is one more time good illustration of VINCI Energy’s resilience and diversity in terms of geographical exposure, business segments and expertise. Acquisition also contributed by around €60 million to the first quarter revenue increase. Order intake of VINCI Energies was more or less stable compared to Q1 2020, even though VINCI Energies won several major contracts in early 2020. Now let’s talk about the new VINCI Construction, which includes Eurovia. So VINCI Construction with sales of €5.3 billion. The first quarter of this year continued the positive inflection we saw in the second half of last year, since the revenue rose 10% versus Q1 last year and 11% like-for-like and 6% versus Q1 2019. In France where business levels were badly affected last year by the near shutdown of work sites for almost two months starting in mid-March 2020. Growth was firm. Revenue were up 12% in Q1 2021 year-on-year, with a sharp increase in revenue from public works and civil engineering supported in particular by the Grand Paris Express projects and also from road, rail and groundworks, all that for France. Business levels in the Building segment, were supported by several major developments in the Paris area. So now outside of France, the growth of the revenue of VINCI Construction in the first quarter was 8%, driven by the major project Division, VINCI Construction major project, with the ramp-up of several large projects, mass contracts, which were won recently and particularly the HS2 in the UK, which we entered into the order book, if I remember well, in Q2 last year. While revenue was stable in road and rail works despite a negative currency effect. VINCI Construction order intake rose 34% year-on-year in Q1 2021. And now last, but not least, VINCI Immobilier, our property development activity. So the revenue of VINCI Immobilier rose 34.5% to €320 million in Q1 2021 after the integration of Urbat Promotion, which is a small developer in the southeast of France, which we acquired 100% in January this year. Like-for-like, the revenue of VINCI Immobilier in the first quarter rose 24.2% versus Q1 last year, when you remember probably, business levels were hit by worksite shutdowns from mid-March onwards and also by a lower number of projects entering into the construction phase because of the pandemic. The number of homes reserved in France by VINCI Immobilier rose 46% to 1,525 units for a value, which is up 64% because their average value per unit has increased also. In conclusion, with these good figures. Overall, we maintain our 2021 outlook, which we already explained and disclosed in the previous communications. VINCI Construction and VINCI Energies, the group is aiming bearing exceptional events, obviously, is aiming to increase revenue, very close to the 2019 level. And also to improve operating margins compared with 2020. Operating margins for the two divisions, VINCI Construction and VINCI Energies, should return to level similar to those seen in 2019, but probably slightly better, slightly higher in the case, particularly of construction activities. In Concessions, visibility still remains very limited and business levels continue to depend on restrictions arising from the COVID-19 situation in France and abroad. As a result, it is not possible at this stage to offer reliable forecast regarding neither VINCI Autoroutes traffic levels nor VINCI Airports passenger numbers for the next few quarters. But for VINCI Autoroutes, traffic levels can be expected to return to normal relatively quickly as this was seen in summer of last year, as soon as travel restrictions are lifted in France. And maybe the good news will be the next announcement by the government for a new opening of travel within the country in May. Given these uncertainties and the weight of the Concessions business for the group’s overall performance, VINCI obviously cannot provide at this stage, a reliable and a forecast for 2021. In any event, earnings will not recover to 2020 – to 2019 levels in 2021. But although it remains unclear how the pandemic will unfold, VINCI has strength that will enable it to get back onto a trajectory of consistent growth once the COVID-19 crisis has been overcome. Thank you for your attention, and we all are now ready to take your questions.
Operator: Thank you, ladies and gentlemen. This concludes the presentation, now we will open the Q&A session. [Operator Instructions] We have a first question from Siobhan Lynch from Benchmark. Madam, please go ahead.
Siobhan Lynch: Hi. Good evening. Thank you very much for taking my questions and congratulations on a great set of results. Maybe three for me, if possible. The first, could you give us a bit of an update on how public sector contracts within France are progressing in terms of the order book? Obviously, we have the municipal elections last year, and there’s always some distant activity. But are we kind of past that now? And kind of confidence levels from the public sector improving in terms of spending? My second question is just on Lisbon and the Montijo airport projects there. I know that there were some court rulings in the last month or so against the project. Is there anything you could update in terms of that situation? And then just finally, maybe a bit of a broad question, but how are you thinking about the benefits for, I guess, Eurovia and VINCI Construction from the possible U.S. infrastructure spending plan? I know you made an acquisition now a couple of years ago with Lane Construction. Just anything you could give on that would be super. Thank you.
Christian Labeyrie: Okay. So the first question relates to the order intake for the public sector in France in contracting. Okay. I would say very simply, so far, so good. Maybe you remember that we were a little bit worried at the end of last year about the risk of having a sharp deterioration of the situation at the beginning of this year. So far so good, it hasn’t happened. So overall, both for Eurovia, we are talking of relatively small orders in terms of size, average size. And also, I’m thinking of VINCI Construction France, there, the average size is a bit higher, but more focus to main activities, which depends from the public ordering, we are more or less stable, I would say. So nothing too bad has happened so far. So maybe we were a little bit too pessimistic when we communicated on this matter last year. Now I don’t know what will be the evolution in the coming months, but so far, so good. For Montijo in Portugal, considering the situation of the traffic at present. Clearly, Montijo is no longer a short-term priority neither for VINCI Airports, nor for the Portuguese authorities. It will probably become a priority in the future when the traffic recovers, but for the time being, we are still, I would say, in a sort of standby situation, also because some local governments, municipalities around the site of Montijo have clearly stated that they were not in favor of this project. So there were some political debates in Portugal, between the central government and some local governments, which means that the project could take more time than expected to go ahead. But I think at the very end, it will go ahead. And honestly, if it takes a few more months or years, not really main issue considering the traffic at this moment in Portugal. But it will have to be done and – but it will be done on time. I think, and these difficulties this control difficulty – political difficulties, I’m sure will be overcome in the future. Now your last question is about Biden announcement in the U.S., I think it’s a very good news, obviously, but it will be even a better news if the announcement transform into facts and acts. But on the other side, we are, at present, I’m not a very big player in the state, as you know, since we make around €2 billion or dollars of revenue annually. Mainly in the Eurovia so the roadwork, work construction activities and also a little bit in the energy work and engineering and work. So we should benefit, at least in the area as well in the states where we are present, which are essentially in the – on the East Coast of the country. Should this plan transform into actual investments by the authorities. So it’s a good news. But in the past, other presidents have made also a very nice announcement about the necessity for the U.S. to invest in the infrastructure, and we have not seen much also because there were some conflicts between the federal and the state authorities. So there as well, good news, but wait and see. And in any case, we are not a very big player, but we might increase our presence in the U.S. also because we have won in the recent past several projects, especially one which is quite big around $1 billion to build an infrastructure in Virginia. So it’s a tunnel under bridge. So we are more and more active in the U.S., but we do that at our own pace, so progressively because it’s a big market. Where you need to understand the rules of the game, have the nice partner locally, et cetera. So it will – it takes a bit of time, but we are now more present than what we were a few years ago, and we might grow even more in the future.
Siobhan Lynch: Okay. Thank you. Thanks very much.
Operator: Thank you. Next question from Jean-Christophe Lefevre-Moulenq from CIC. Sir, please go ahead.
Jean-Christophe Lefevre-Moulenq: [indiscernible] good evening. Have three question, if you allow me. First, follow-up question on ANA. I think, ANA, you own 100% of this airport. So maybe could you confirm us that ANA had a positive EBITDA last year. Second issue on VINCI Autoroutes. You have – I was impressed by your performance early 2.8% decline in traffic, so much better than [indiscernible] way is different. We have a – maybe an explanation of this good performance regarding versus your peers. And also this resilience of traffic is mainly driven by [indiscernible] there is, let’s say, 300 basis point on the traffic decline between [indiscernible] do we have also an explanation? Last question on Eurovia legacy, could we have – could we have the sales valuation over the first quarter? Many thanks. Thank you, Christian.
Christian Labeyrie: Okay. Jean-Christophe. As usual, you are asking very detailed and precise question. I am not sure I can provide all the detailed answers. But let’s try. So ANA, it’s not an airport. It’s a group of airports since we operate. As I remind you all the airports of the country. Mainland and the islands. Obviously, Lisbon is by far, the biggest platform, which we also operate [indiscernible] plus all the airports of LISEA and Madeira and also [indiscernible] which is a small mainland airport. I can – and we own 100%, and we are very proud and satisfied of owning 100% of this very nice company, which we acquired in 2013. It was our first major development in the airport business, and we won tenders and organized by the Portuguese government. I confirm that in 2020, even if it was not very significant, I confirm that the EBITDA of ANA was positive. But I suppose the accounts of ANA are public, if I remember correctly. So you should find all the details in the releases of ANA, which are made locally. As for the motorways, I was expecting your question. Because FARR released of its figures a few days before, what about Abertis, I don’t remember. Probably the difference this time is it now favorable. It was not always the case. You could have asked me the question a few years ago. Why are we worse than Abertis? This time we are better, probably because it was a bit more complicated this year to ski in the Alps. And you know that in the first quarter, usually FARR benefits from the travel for – to ski in the Alps. This time, probably due to the shutdown, we benefited from the fact that many people living in the Paris area drove to the Brittany or to the Southwest, like my family, for instance, which is still – we are at this moment, and I will join them next Saturday. But naturally it’s only one in this case. So it’s probably part of the explanation. What was the last question? Actually, we said that the activity in road works, railway works and ground works in France was up 11%. And abroad, it was flat despite negative currency effect. The worries we had last year were not about the projected level of revenue starting the year, was more about the evolution of the order intake. So not only the revenue – because we knew last year that we had a very high order book and since the average duration of the project at Eurovia is relatively short. So we are not that surprised by the fact that the level of activity in Eurovia in France is good in the third quarter. A good surprise, I can say, is the fact that the order intake is better than expected. So it’s also good, as I said before.
Jean-Christophe Lefevre-Moulenq: Thanks.
Operator: Thank you. Next question is from Elodie Rall from JPMorgan. Madam, please go ahead.
Elodie Rall: Thanks for taking my questions. And I start actually bouncing back with just your previous comments on the good news on order intakes momentum generally. And the fact that actually, revenues in Construction and Energies are up already meaningfully versus 2019 level. Why keeping such a conservative guidance because your guidance actually implies trends to come down for the remaining of the year versus 2019 level, but you had such a good start. And on top, the order book intake is so strong. Can we not expect actually an increase versus 2019 levels, isn’t it more realistic? And on the order book, do you have any orders that are not yet in the order book that you can comment on? And then just one question on Airports, if I may, a general question. On the relationship with the airlines. Now we’ve been in this crisis for about a year. And of course, there’s no traffic, but are you seeing some pressure from our end at this point already or not with regard to tariff going forward? How is the relationship? Thanks.
Christian Labeyrie: About the prudence in our forecast. That’s not really new. We have always been prudent. And I think we were right and prudent last year, in particular. We are still in a very uncertain world. Many things can happen from now on until the end of the year. And remember that last year, the second half was really well sustained. So yes, maybe we will be better than what we said, but there’s no certainty what so ever. The first quarter is also a relatively small quarter compared to the other ones, especially the first quarter, which is very important in most of our businesses. So at this stage of the year, it’s reasonable to be prudent. But we don’t have any specific fact, which make us that prudent. It’s because we – by nature, we are prudent, and we are only in April, and there are still eight months to come. Pre-backlog, what can I say about the pre-backlog? Or maybe Gregoire will…
Gregoire Thibault: Yes. Regarding the pre backlog, we could lead the number of projects, which have been won but not yet in the backlog. The – soon most important that we announced already that the PPP in Kenya is for almost €1 billion of roads and motorway PPP in Czech Republic. So more than €400 million of work. Of course, we could lease other projects, but which are not public, let’s say. So have in mind that the pre-backlog remains quite robust with the two main contracts in Kenya and Czech Republic, which will be included in the backlog once this project will be closed. Once there will be the financial closing in the coming weeks or months.
Christian Labeyrie: As for the airlines, we don’t generally provide details about commercial relationships with our clients. What can we say? We have different types of airlines with whom we work. First, there are the ones which are state-owned or state controlled like TAP in Portugal, like Air Serbia, like Air France, et cetera, Japan airlines. But they are not in a very good shape, like most airline, but so far, they have been supported by the government. So there is no major anxiety about the evolution of the financial situation in the next month. Obviously, it will depend on the pace at which traffic will recover. Then you have other customers like the low-cost easyJet, which is our first customer or Ryanair or Wizz Air. These companies don’t receive much support from the government, but they are well-run and financially not in the worst situation compared to many other airlines. And there are a few airlines which are in difficulties, especially the one which are in a chapter 11 situation, there are a few like LatAm in Latin America or Norwegian. So we’re obviously looking very carefully at their financial situation and the evolution of their financial situation. And there’s also TUI, but TUI, it’s a major trip organized – German organizer, but it’s also an airline, which has received a strong support despite the fact that it’s private. It has received a very strong support from the German government. So still in a reasonably good financial situation. But obviously, it’s – we follow-up very carefully week after week, months after months, the way these companies, these airlines are facing the difficult market situation, which we are all facing.
Elodie Rall: Okay. Thanks. So in general, they’re not yet more – they’re not putting specific pressure on tariffs you’d say or?
Christian Labeyrie: No, I think their program is not really the cost per passenger. It’s really having more passengers, more and more customers. They have all the same concept. How to have more customer, which depends completely about the restrictions, which are implemented all over the world and in Europe, in particular.
Elodie Rall: Yes. Very clear. Thanks very much.
Christian Labeyrie: Some of our customers, in particular, the British airlines have already announced that they are receiving more reservation for the summer, from their own customers. Following the announcement made by Boris Johnson about the reopening of the country. But this needs to be confirmed, obviously, in the coming weeks and months.
Elodie Rall: Great. Thanks.
Operator: Thank you. Next question is from Nabil Ahmed from Barclays. Sir, please go ahead.
Nabil Ahmed: Yes. Good evening. Congratulations for the very strong numbers, both the revenues and the order intake. I had actually three small questions small questions, if I may, two about motorways and one about contracting in general. First one on motorways, could you elaborate a bit if you can on what’s going on with trucks? I mean, in the past, we were used to see much more direct and quick correlation between GDP and the truck traffic, it looks like this time it’s defying a little bit gravity. I think you alluded to the development of e-commerce, but is there anything specific you want to share about the trend in trucks and whether you think that could be sustainable? The second question, I was wondering if you could update on the talks with the government over a potential plan, investment plan in motorways, I understand it’s probably not the priority of the government right now. But should we assume, given the upcoming elections that it’s more or less dead until May next year? Or is there still a chance that something could happen? And lastly, I mean, this is more a general question, but given that you are both in property development and construction, I wanted to get your view on that. I mean, we’re starting to see and possibly, this is one of the consequence of the developing working from home, landlord that are converting offices into housing units. It’s clear in Paris and in the big cities. Could you elaborate on what you think the consequences would be for VINCI and VINCI Immobilier and VINCI Construction?
Christian Labeyrie: About trucks, I have no – not much to add, apart from the fact that since people are more and more at home, and they are getting bored staying at home, they order many things from Amazon or from other people. And when I see my family, for instance, almost every week, my wife order two or three different things from Amazon and one year ago, she order nothing. So I suppose if all the French people do that at the very end, it creates a natural increase of truck traffic. It’s probably a large part of the explanation is probably not the only one, but I suppose, it’s really a change in the way the consumers consume and since they cannot go to the shops because it’s forbidden unless it’s essential things to buy. They need to do – to spend their money. The money they don’t spare, they spend it on the e-commerce. No, I’m just joking, I think it’s really the case. Maybe there are other factors, which I don’t know. You want to add something, Gregoire?
Gregoire Thibault: There is a kind of resilient activity economy, let’s say, and don’t forget that the frontier in Europe have never been closed to – for the trucks, neither in 2020 and neither in 2021. So that maybe another explanation, which explains the good revenue…
Christian Labeyrie: Even with the UK, which is completely close for individuals, but which continues to be open for truck drivers.
Gregoire Thibault: It’s sustainable, that’s…
Christian Labeyrie: I think the fact that people spend more money on the e-commerce and also on Netflix and the cyber scene will continue for sure. Okay. Then talks with the government, not with the central government because, as you said, it’s clear as the priority of the government. Talks with local governments, yes, in some cases, we try to keep whatever the circumstances, a close dialogue with our local partners. It’s very important. You cannot just discuss all the time with Paris, you to keep a very close relationship with mayors, with the deputy locally, et cetera, et cetera. So we do that. And it pays off, but maybe one day, it will pay off, but not now, but it doesn’t matter. It’s a long-term investment. Office to homes, actually, we’re exactly doing the opposite because as you probably know, we are one of the selected developers to build the future Olympic game village for Paris 2024 in Saint-Denis, North of Paris. And the order from the authority is to build a village. So it’s units, housing units for the athletes, which will be transformed after the Olympics into offices for maybe administration or whatever. So yes, physically, it will be possible to go from, let’s say, residential to non-residential or I suppose the other area which means some technical adaptation, as you can see, and probably some cost overruns because it will cost more. If you have to change the – use the financial from office to house or from house to office, we’ll have to take that into account in the ledger. So if we have a cost but yes, more and more, the developers will have to be imaginative about the final use of their products. And there are also projects, I think, in Paris, in the center of Paris for transforming old office building into residential building. So all that cost money. So the politicians sometimes dream about those concepts because at the very end, it costs more. So the final user will have to pay for that. Which is a problem because on top of that, the cost of the loan in the big cities is very high, especially in Paris. But yes, we are working on those concepts because it will be more and more developed in the future.
Nabil Ahmed: Okay. That’s clear. Thanks.
Operator: Thank you. Next question is from Gregor Kuglitsch from UBS. Sir, please go ahead.
Gregor Kuglitsch: Good evening. Thank you for taking my question. I’ve got a few, please. So the first one is on cash and the sort of financial position. I think if you look at the numbers, you’re up similar year – sort of sequentially, right, from end of the year to Q1. So I want to see whether that tells us anything about working capital because, obviously, it was very strong inflow wise last year, and it doesn’t look like it’s unwinding. I just want to confirm that that’s the case. That’s the first question. The second question, is on your sort of concession bid pipeline. I mean you won, I think, a small-ish concession in Brazil the other day. Perhaps you can comment on that. And whether there’s anything else that’s in the works that you’re looking at right now, be it in the U.S. or elsewhere? And then the third question is maybe a little bit early, but I’m going to ask it anyway, is have you looked and analyzed the impact or, I suppose, the exposure, whichever way you want to call it, to the EU taxonomy rules or the sort of legislation that was published a few days ago, whether you could comment to what extent, you’ve analyzed, of your revenues are eligible under the taxonomy rules, that would be helpful. Thank you.
Christian Labeyrie: Okay. About the cash, we had a consumption of cash – of net cash in the first quarter, which is normal. We had one as well last year at the same time of the year. Several hundred million. It’s a working capital evolution traditionally at this time of the year because we have less collections and costs, which are most fixed. From a gross cash perspective, we have also reduced it because it costs money. You know that when you are on cash reach, it costs you between 40 and 50 negative basis points. So we decided for instance to not to renew part of the commercial paper we had issued last year for safety – for prudent reason. Last year, we were a little bit in the dark. So we were – we really don’t know where we were going. So we decided to be – to increase as much as possible, the cash available. So since its first money, we decided to reduce it a little bit. For the rest, no major change for the moment on the net cash – net debt situation, except that we have not made huge investments so far. But you know that we are supposed to pay a little bit more than €4 billion maybe at the end of this year. So it’s logical that we save a little bit of money in the meantime. In terms of concession project in the pipe, apart from man hours, we have submitted a bid on [indiscernible] it’s a small greenfield motorway project in France, but we are not the only one. There are, I think, two competitors. So we’ll see who will be selected by the government. We have also submitted offers for two very small airports in France. For one, it’s public, we have been selected and see but there are some opponents. So the deal for the moment is not confirmed. And we also have submitted a bid for a small airport outside of France, but I cannot give you more details at this stage. So nothing very big really, nothing very big. As for the taxonomy, honestly, it’s a bit early to make a comment on it. We are obviously paying a lot of attention to this new concept for obvious reason. And from a pure financial standpoint, I think it will be necessary for a company like ours to be able to provide all the necessary information about not only our direct impact on the decarbonization. But also give a detailed analysis of our activities in the different sectors, especially for VINCI Energies, but not only what part of our revenue is directly linked to sectors – business sectors, which are – which fits well with the taxonomy concerned. But I will not – there giving any percentage. I think it’s – there are some information in our annual report, but it’s a bit early to be more specific about this matter. Did I forget your question?
Gregor Kuglitsch: No, that was it. Thank you very much.
Operator: Thank you. Next question from Luis Prieto from Kepler Cheuvreux. Sir, please go ahead.
Luis Prieto: Thanks a lot for taking my questions. I have two brief questions. The first one is you recently provided us with the commuter component in your road traffic. And along the same lines, I was wondering if you could give us an idea on how much of light traffic currently relates to leisure, visiting friends and family, whatever you want to call it versus business and other drivers? And the second question, should we expect in 2021, 2022, VINCI, taking any steps towards gaining future exposure to managed lane segment in the U.S. infrastructure sector? Thank you.
Christian Labeyrie: Your first question relates to airport or more generally to motor…
Luis Prieto: No. It’s toll roads. It’s motorway, trying to have a similar idea. To have an idea what people – to have an idea about the leisure…
Christian Labeyrie: Motorway. We can give you some figure. But you know we not allowed due to legal regulation in France to make a close control about why our people or customer drive on our motorway is forbidden. So we can only make inquiries. But maybe Gregoire wants to provide some information.
Gregoire Thibault: Yes, what we could call commuters would account for around 5% of the total light vehicle traffic. So it’s finally pretty small.
Christian Labeyrie: But you cannot give any information about will the people travel for personal reasons?
Gregoire Thibault: No, no, I – no, no contrary to the other…
Christian Labeyrie: We’re not going to put [indiscernible] at the toll gates and ask you, when you drive your car, you’re going to see your wife or doing business or both, maybe some time. No, it’s not possible. Now the last question about – what was it?
Gregoire Thibault: Managed lane.
Christian Labeyrie: Managed lane. Yes, the answer is obviously, yes, we will too. We have hired Madam Marcos. She used to be the CEO of a subsidiary of Eurovia in North America, and she has been appointed CEO of Toronto Motorweb, she finally preferred to join VINCI. So – and we have now, as I said, more significant presence, at least in some states of the East Coast through Eurovia. So yes, we will be more than pleased to try to win a project, not too big because we know by experience that big projects, especially in the space can be risky and some colleagues including Eurovia, which has done a very good job apart from that. In the U.S., have also experienced some difficulties because of the fact that when you are in charge of a management project or any concession project, you need to secure a fixed-price contract with the contractor. And it’s not always possible because the contractors don’t want to commit themselves on a fixed price for billions of dollars, especially in the states. So in such case, the concessioner company will have to take the risk. If not, it will be unable to finance the project on a non-recourse basis with some money providers. So for all these reasons, you have to be careful. So yes, we are interested, but we should find, and maybe it will be possible in the future, thanks to the Biden plan to select some project of a reasonable size. When I say a reasonable size, it’s between, let’s say, a few hundred million and maybe up to €1 billion or a bit more than €1 billion, but not €4 billion, €5 million, €6 billion. It would be too big for us, considering our lack of experience of the U.S. market. We will do it at our pace.
Luis Prieto: Yes. I assume it’s too early to provide any visibility on targeted states or anything similar, right?
Christian Labeyrie: No, we follow-up. I never comment on prospects, but we are following up a few projects, which are not necessarily actual managed lane. It can be control infrastructure, bridges or tunnels, tall tunnels or tall bridges, it can be that also not necessarily the managed lane.
Luis Prieto: Okay. Understood. Thank you very much.
Operator: Thank you. Next question from Laurent Vince [ph] from Exane AM. Sir, please go ahead.
Unidentified Analyst: Thank you. A very good result, congratulations. I’d like to ask a question regarding VINCI Energies. To try to understand what is the underlying real organic growth. What could be your guesstimate for the comps when France went into lockdown, the first lockdown was very severe. So what in your view is if we try to, to account for the impact of the lockdown in 2020, in the first quarter of 2020, what would be your guesstimate of the real organic growth for the VINCI Energies division?
Christian Labeyrie: I don’t have information. I’m sorry, first quarter, the impact of the lockdown was quite limited because the lockdown started actually the 17 of March. So 14 days out of 90 days for the quarter. And during those 14 days last year, it’s a guess, but VINCI Energies in France, probably was at something around 40%, 45% of its normal level of activity, where Eurovia and VINCI Construction of France during those 14 days were nearly at zero. That’s all I can say.
Unidentified Analyst: Okay. Thank you so much.
Operator: Thank you. Next question from Jose Arroyas from Santander. Sir, please go ahead.
Jose Arroyas: Good evening, gentlemen. I just have a couple of questions. First is on the contracting order backlog which is at a pleasant all-time high. What assurance can you give us that the margin can improve, especially on the back of the latest orders, the €1 billion large order – bridge order in Germany? And that – I mean, basically, that these orders are of high-quality and that the margins can continue to improve as the guidance suggests. And my second question is related to the ACSIS transaction you presented a few days ago. I wanted to double check the indication you gave back then that this deal would generate mid to high single-digit EPS accretion from year one. I wanted to check if there is no PPA amortization charges that we need to reflect on this deal, that this is an all-in EPS accretion? Thank you.
Christian Labeyrie: Honestly, and I’m talking under the control of [indiscernible] which will be just PPA, but not now when we will be able to consolidate ACSIS. So maybe, hopefully, by the end of this year. So I have no idea whatsoever at this stage, for being more specific about the profit enhancing impact of ACSIS, except that so far, they have been able to generate around an even more – a little bit more than 6% EBIT margin. Their financial situation was structurally positive. They were cash positive, but they had some financial expenses because they had issued a bond, a green bond and this led to a net profit, order of magnitude of, let’s say, 4%, 5% of revenue, something like that. This was the past. And hopefully, it will be at least the same for the future, but I cannot tell you more because we are not the owner of ACSIS. We have just signed an agreement with Mr. Peres and now we have to go through the entire process of the antitrust clearance, investment control clearance, et cetera, et cetera, it’s a very cumbersome and I suppose, quite long process because there are a certain number of countries where we have to go through those processes. And hopefully, all that will be completed by the end of the year. And by then, we will have gone into more details for preparing the PPA. But I cannot tell you more at this stage. Now for the order book, I never comment on the margin in the order book because in contracting, in construction, in particular, you have always risk in the execution of the projects. The only thing I can tell you is that the people in charge of those activities, both at VINCI Construction in the different divisions and Eurovia and obviously, VINCI Energies, all these people are really all focused on profit. They are not crazy people. They have to go through a risk committee, at the VINCI level with Eurovia heading it for the main project, for the biggest ones, and the Femern is a good example. So we are not prepared to lose money, and I don’t think many people are prepared to lose money. So when those projects are presented by the people in charge, we make sure that at least on the paper, on the – with the hypothesis, which are factored in, it’s reasonable to put the price we propose to the final customer. So in the case of the Femern, I don’t have the figure, but the Femern is a very technical project. We are teaming up with DEME. DEME is a bridging company belonging to CFE Belgian company listed in Brussels, which we know very well because we are also a minority shareholder of CFE, and I am the Board member of CFE. So it’s a very strong team, DEME plus VINCI. I think we are also a local partner, Danish partner. So we had a very strong joint venture, which – and technically, it’s not an easy work because we have to build a tunnel, which will be pre cast and located in the bottom of the sea. But it’s a technique that GTM, which used to be a component of the VINCI group a long time ago. It’s an expert in GTM, for instance, build a similar tunnel in the city of Amsterdam, which you can imagine, is not – was not so easy because building this type of tunnel in an urban organization is difficult. And they did it, I think, in other places. So they have the experience. And the guys are capable of taking the responsibility to do such things. There are not very many companies capable of doing that. So consequences of all I have said is that, I suppose, the price that they have proposed not only cover the risk incurred, but also will commit to show a reasonable margin. And we have a good customer. The customer is the Danish government and the German government, and it’s a fair customer.
Operator: Thank you. We have a next question from Eric Lemarie from Bryan Garnier. Sir, please go ahead.
Eric Lemarie: Thank you for taking my question. I got three, if I may. The first one, regarding VINCI Construction, you mentioned in the press release the good dynamics from the Paris and the building activities, the Paris region. But what about the activity in the rest of France for VINCI Construction? Could you make maybe some comments there? It’s the first question. A second question on digitalization. Do you think the pandemic – do you think the crisis has accelerated the development of digital solutions in construction or, or not really? And the last question on VINCI Energies. You mentioned this acquisition for VINCI Energies. Should we expect further bottom of VINCI Energies going forward despite this ACS deal. Thank you. Are you there? Hello?
Christian Labeyrie: I repeat. So about VINCI Energies, the answer is, yes, there is no reason why we should present VINCI Energies to continue to make bottom acquisition, it was very well, and it is really fully part of their business model in order to complete their expertise and geographical presence, including in France. But there is nothing big at present in the pipe as far as I know for this year in terms of acquisition for VINCI Energies. Last year, at the very end of the year, they closed the acquisition of [Audio Dip] company in Quebec in Montreal. It was not easy because we were – they couldn’t travel. So they did all that at the distance. But finally, they find an agreement. So they have to digest this acquisition before contemplating further ones of a certain magnitude. It’s not incompatible with the acquisition of ACSIS providing, obviously, we are not talking of acquisition in a country where ACSIS is already very big, like Spain, for instance, or even Portugal. Where probably we will have some discussion with the antitrust authorities. Then digitalization. No, I think the digitalization had a very significant impact in the head office ways of working for obvious reasons because we had to go home suddenly on the 17 of March, most of people were at home. And then in the course of April last year, operation people went back to the sites. And we had to organize the flows of workers very carefully considering the barriers of protections. But the digitization of the job then itself has not been dramatically changed because of the pandemic. It’s a long-term trend, which started before the pandemic and which will continue after. And what was the last question? There was another question. Anybody has information about that? I know some regions better than others. I know, for instance, that in the west of France, the activity is quite sustained at this moment. But it doesn’t mean it’s the same everywhere. I think in Lyon as well. I don’t know about south. South was quite depressed in the recent years. So there are probably differences between the regions, but honestly, I don’t have details to provide.
Eric Lemarie: Okay. Thank you. May I ask a follow-up one, please?
Christian Labeyrie: Yes, yes.
Eric Lemarie: Just last one. I know you got an answer for that. But do you consider any risk on margins due to raw material inflation or any risk of construction site disruption, as it was mentioned by the French federation of buildings?
Christian Labeyrie: It’s obviously a critical issue. Well, the first answer is that the program is the same for everybody, not just for VINCI. We are quite accustomed to this type of problem, in particularly at Eurovia because Eurovia is probably the most industrial business of VINCI because of the need to acquire oil products, aggregates, et cetera, et cetera, which – the price of which fluctuate regularly. So this is – this problem is properly addressed in the way the contracts are written, which permits either to push to the customer the changes in price. Or when it’s not possible, make sure that in the pricing of the project, we have factored in enough provisions in case. And this is also the way it works in most activities, especially in construction. So it’s a serious issue. But so far have not been informed of any material negative impact that we would have to face. And there are some big contracts, like, for instance, at HS2. In the Anglo-saxon world, it’s quite classical that the prices take into account adjustments for taking care of variation of material costs.
Eric Lemarie: Thank you.
Operator: Thank you. There is no more questions for the moment. [Operator Instructions]
Christian Labeyrie: So maybe we can go home now and have a drink. And thank you for attending this meeting, and I hope to see you physically soon. While Mr. Macron and Mr. Castex will authorize us. Have a good evening.
Gregoire Thibault: Bye-bye.
Christian Labeyrie: Bye-bye. See you soon.
Operator: Thank you. Ladies and gentlemen, this concludes the conference call. Thank you all for your participation. You may now disconnect.